Operator: Good morning, ladies and gentlemen. Welcome to the Martinrea International Fourth Quarter and Year-End for 2014 Results Conference Call. Instructions for submitting questions will be provided to you later in the call. Please be advised that this call is being recorded. I would like to turn the meeting over to Mr. Rob Wildeboer, Executive Chairman with Martinrea International. Please proceed, sir. Rob Wildeboer
Rob Wildeboer: Good morning everyone. Thank you for joining us today. We always look forward to talking with our shareholders and we hope to inform you well and answer questions. With me this morning are Pat D'Eramo, Martinrea’s CEO and President; and our CFO Fred Di Tosto. Today, we will be discussing Martinrea's results for the quarter and year ended December 31, 2014. I will make some opening remarks and discuss some highlights of the the Company's past year and performance. Pat will make some operational and strategic comments. Fred will briefly review the financial results, and we will finish up with some brief outlook comments. And then we will open the call for questions and we will endeavor to answer them. Our press release with key financial information discussed on a fairly detailed basis has been released. Our MD&A, AIF and full financials have been filed on SEDAR and should be available to you. These reports provide a detailed overview of our Company, our operations and strategy, and our industry and the risks we face. Given the detail in our press release and filed documents, our formal remarks on the call today will be overview in nature. However, we are going to give a general state of the union. We’re very open to discussing in our remarks and we hope in the Q&A some highlights of the quarter and year, the state of the industry today, how we are addressing the challenges and progress in our operations. As always, we want you to see how we see the world. As for our usual disclaimer, I should note that some of the information that we are sharing with you today may include forward-looking statements, even if qualitative. We remind you that these statements are based on assumptions that are subject to significant risks and uncertainties. This is particularly the case given the present automotive and economic environment. Although Martinrea believes that the expectations reflected in these forward-looking statements are reasonable, we can obviously give no assurance of the expectations of any forward-looking statements will prove to be correct. Our public record which includes an AIF and MD&A that I just mentioned is available on sedar.com, and you may look at a full disclosure record of the company there. I also refer you to the disclaimers in our press release, or MD&A our AIF. The year 2014 was a watershed year for us at Martinrea as we continue to build our Company and our business. For the fourth consecutive year, we enjoyed record revenues, adjusted earnings and adjusted earnings per share, despite investing heavily in our future. We generated positive cash flow from our operations. We continue to invest in our business and our people, so that today we have record 44 plants built or being built over 14,000 employees in eight countries on four continents and a stronger footprint than ever before. We acquired the balance of our interest in Martinrea Honsel and thus we’re able to fully incorporate our aluminum based business into our worldwide operations to take advantage of our opportunities in light weighting the vehicle. As we look to the future, we can briefly recall our short history to date. You can never live in the past, but you can never forget it either. As Santayana famously observed, those who forget the past are condemned to repeat it. There are lessons to be learned from to make us better today and in the future. We've had some bumps over the years, but they have made us experienced and wiser, and we feel good about the future. We at Martinrea take great pride in our work and our history, and we are proud of what we have built at this company, and here are briefly some highlights. In just over 13 years, we've grown revenues from nominal to more than $3.5 billion. We've grown into a leading Tier 1 supplier in North America and in the world. We are now a market leader in our areas of business, steel metallic, fluid systems, aluminum, assemblies. We've grown from three plants in Toronto to over 40 in other places, including those being built in eight countries on four continents. Our employees have grown and numbered over 14,000. We’ve completed seven successful acquisitions and built many plants from the ground up. We have survived and grown through customer bankruptcies, competitor challenges and a major recession. We are in the top 25 suppliers to a number of our customers and have won many awards over the years. As noted in each of the last several years, we have had record revenues and record adjusted earnings while still investing in and growing new and existing plants. Few part suppliers in the world have done this. Our people are proud of these accomplishments. Our Company's been blessed on this journey with many great people working hard to do great things. To become a leading market player, we had to grow. We had to build a footprint so that our customers could be better served by us and so that we could be a go-to supplier to them in each of our product groups. We had to build or buy plants. We often bought distressed assets because they were affordable and fixable over time. In fluid systems, our group was put together in 2002 with two purchases. There have been no acquisitions since, and the 2002 companies are now a relic of the past. Today we have world-class facilities in Canada, the U.S., Mexico, Slovakia for Europe and China. We are in the top three in North America and compete well against our largest competition. We are also competing well with them in others outside North America, and we are growing. All our North American facilities are profitable. So is Slovakia now and China will be by year end. In metallics – steel metallic group started in Toronto in 2001 with the purchase of some press lines and hydroform solutions and a plant that all field in 2002. Other plants were added subsequently with greenfield plants in Mexico and elsewhere and most significantly, the purchase of the body and chassis business of TK Budd in 2006. The TK and Budd plants were half full at best; some needed to be closed, some needed to built up and some needed to be rebuilt from the ground up, but they provided the North American footprint we needed to be a go supplier for our key customers. We bought SKD assets in 2009 at the height of the recession to further fulfill the footprint. Today, we are one of the largest steel metal formers in North America and a key supplier to our customers. We are profitable in many of our plants, especially Mexico and Canada, and becoming more so in our U.S. metallic plants where we have had some challenges, but we needed the footprint, and the future looks increasingly better. In Honsel aluminum, we bought the Honsel assets in 2011 with 55% interest. That interest is now 100% after our purchase of the minority interest last August. We bought Honsel because of the strategic need to be in aluminum as a complement to our steel business and also to take advantage of the growing emphasis on aluminum in several product areas. Honsel needed significant restructuring especially in Germany. We did that. Our people here were awfully turned around some major operations, and today we are growing market leader in the aluminum space, especially engine blocks and structural parts. The operations have performed well, and the future looks great. We have built a footprint with plants in Europe, Mexico, Brazil, and China. One last note on aluminum, in our press release yesterday, we indicated we were seeing some good quoting opportunities, particularly with Martinrea Honsel and anticipated some new business in the near future. Well, we were right. We’re just heard from Jaguar Land Rover that we've been awarded some new business. Rear knuckles and lower control arms across various vehicles. It will be done in our Spanish plants and in China starting in 2017, hitting peak volume during 2019 or 2020. It's approximately $100 million a year when fully launched. The nice thing is, it's a longer program, longer than 10 years. So this is a good award from a good customer and reflects a growth opportunity for Martinrea Honsel that we've been talking about for a while. In assembly, we've built up a growing business. We felt assemblies could be a valuable part of our product offering to our customers, and the business has done well for us. In terms of customers, over all our units we have many great customers. We're one of the largest suppliers in the world to some of them, but we are adding customers also. One very interesting reality is our ability to build relationships across groups. For example, traditional Martinrea classic customers are growing customers of Martinrea Honsel. Some of our metallics plants have won work from our fluids relationships in the past and vice versa. In terms of the overall auto parts market, we remain positive about North American volumes for the next several years, which will support our plants here. We believe the European market overall will not be a growth story, but we should see growth in our business over time, given the new product wins we anticipate in aluminum and growth in fluid Systems. In China, regardless of the growth in the overall market, our growth should increase as we are just beginning to build our base there. Our footprints are now largely in place. A lot of heavy lifting has been done. Investments have been made. Lessons have been learned. We are largely there with the footprint. To create long-term value, to create a business that is sustainable, you need to build a footprint. Martinrea's writing a story. It will we expect be a long book with many chapters. We are still in many ways a young Company. We think it is fair to say part one of the book is done. We grew to be a key supplier from nothing, and now we are much larger Company and a critical supplier to our customers. And now it is time for a new part to our book. And that's what we're going to focus on going forward. We spent some time over the past several months focusing on our vision and strategy for the future. It has been a stimulating exercise for our people, a time for reflection on lessons learned as well as critical analysis of things done well also. As a startup and then a growing Company with many acquisitions, we are sometimes too busy focusing on the various immediate crises of the day, such as massive launches, turnaround situations, to focus on developing the core principles of the Company. What do they mean, how are they taught, how are they lived? But now as part of our process of renewal, we have a renewed focus. Our vision for the future is to be the best preferred and most valued automotive part supplier in the world in the products and services we provide our customers. This is what we intend to be where we want to get to. Our mission, which is what we do to become who we intend to be, is to deliver outstanding quality products and services to our customers, meaningful opportunity, job satisfaction and job security to our people through competitiveness and prudent growth. Superior long-term investment returns to our stakeholders, and positive contributions to our communities as good corporate citizens. We're not there yet, but we’re working hard on it. In sum, keep our customers happy, keep our people happy, keep our shareholders and lenders happy and keep our communities happy, pretty simple concepts but foundational. And with that, I turn you over to Pat.
Pat DEramo: Good morning. The last time I was on a quarterly call, I'd only been at Martinrea a few days. I've now been here four months. Let me start by saying how enthusiastic I am about joining Martinrea. I've really been pleased with the people I've been working with, and frankly I'm having a lot of fun. Rob mentioned that we are starting a new part of our history, and I concur. This company has had a lot of success in a relatively sort lifetime. We have great people, a strategic footprint and a lot of runway. In the past months I spent a lot of time traveling, visiting plants, meeting our people, and visiting customers. During this time, I've completed a good part of my assessment, identified gaps and opportunities and with our team have developed a go forward strategy. As many of you are aware, I am a firm believer in operational excellence, disciplined processes supported by great people and a strong talent development system. This thinking way is a perfect marriage with the opportunities that lie before us. We recently had an investor day, and I want to reiterate a few findings. I will start with some of the strengths I have found since being at Martinrea. We have an entrepreneurial and innovative spirit, a tremendous growth record as Rob has noted. Strong capability to integrate acquisitions and fix distressed assets. Customers view us as capable and willing. We have a local ownership resulting from the decentralized structure with the ability to make decisions locally close the customer. Martinrea maintains a small central office. We have very strong loyalty across the organization. We have market-leading positions in core products. And we have a low exposure manufacturing footprint. Though global it’s weighted in North America, which is a positive. We have a track record with manufacturing relationships including metallic partner in China, some good manufacturing systems already exist. We have strong capability to locally train, and we have thoughtful in our community service activities. These are strong attributes which we will build upon. In order for us to develop our go-forward strategy, we need to take advantage of the best opportunities for bottom line improvement and continued growth. In order to do this, we must clearly understand our gaps. As I discussed with many of you in the past, we must improve our launch capability, particularly in some key metallics plants in the U.S. We have some great talent throughout the organization, but we must develop more depth. This is particularly crucial in the general manager ranks, the men and women who run our plants. They must have a deep operational experience, fiduciary qualities and strong leadership skills. Either difficult to find outside, so we must develop them internally whenever possible. Lean thinking is not systemic through the organization that we have pockets of excellence and we are now in the process of adopting many more lean tools and spreading the best practices throughout our business units. This includes improving our maintenance management where we have great activity in many places and relatively weak practices in some others. We are a big company with small beginnings not so long ago. We will take advantage of our scale with best cost sourcing and optimizing plant logistics. We're happy with the decentralized organization but cannot allow this to cause customer confusion. We're now in the process of better connecting our plants, sales and our customers through our renovated business unit structure. We will continue to emphasize profit at the factory level, though we recognize plants must manage a wide financial spectrum including cash flow and return on invested capital. Also we’re developing a communication system that has not previously existed. This activity will assist us in developing our culture and shared vision. There are some basic guidelines that we use when we built our go forward strategy. At the local level, where we have good ownership and accountability, authority and control must stay at the plant. Key resources should reside locally and we must stay close to the customer and maintain our entrepreneurial spirit. At the same time, at the corporate level, we must use our global strength. Company policy must be consistent and consistently applied. We must take advantage of our size and scale, set company-wide direction and reporting and develop strategies, functionally, and deploy. And of course, M&A and finance at the corporate level as well. Our strategy is built on four pillars. High performance culture, operational excellence, strong financial management and the recognition that the customer is king. This along with our business plan deployment process are key to our future success. We are committed to a culture of lean thinking and the discipline to manage it, building on our strengths and taking advantage of our opportunities to build an even better company. With that I am going to hand it over to Fred Di Tosto.
Fred Di Tosto: Thanks, Pat, and good morning everyone. The fourth quarter was a good quarter for us. Revenues grew nicely and operations improved year-over-year. We continue to invest and build up the value of our assets and operations. Revenues for the fourth quarter excluding [indiscernible] million in tooling revenues were $862 million, above the range of previously announced sales guidance due to higher than expected production volumes across several vehicle platforms. Overall production has increased by approximately 9.9% quarter-over-quarter as a result of our seasonally lower Q3 production volumes due to customary OEM summer shutdowns and increased 9.6% year-over-year, a healthy rate of year-over-year growth. In North America, year-over-year Q4 revenues benefited from overall strong OEM light vehicle production, favorable foreign exchange translation, and the general weakening of the Canadian dollar, and the launch of new programs including GM's full sized pickup trucks and SUVs, BMW X5, Ford Transit and the new Chrysler 200. Q4 revenues in Europe decreased slightly year-over-year due mainly to lower tooling revenues, partially offsets by increased production volumes driven mainly by platform mix and the benefit of foreign exchange translation. In our Rest of World segment, Brazil continues to be a soft spot for us at the current time with overall OEM light and medium, heavy truck production volumes in Brazil down year-over-year. Our first plant in China in the Shanghai area dedicated to our Fluids business continues to ramp up but has still not hit peak volumes and will not until 2016. Our second plant in China which will be dedicated to aluminum business, is in early stage, and there's no revenue at the current time but incurring costs. Our second plant in China will not launch its first product for GM's Omega program until 2016. We believe China will be a growing and profitable market for us over time and look forward to contributing to the overall profitability of the organization. For the year, total revenues increased to $3.6 billion from $3.2 billion in 2013 including tooling revenues, representing a compounded annual growth rate of approximately 26% over the past six years, significant growth by all accounts and a testament to our capabilities in the eyes of our customers. We are very pleased with the top line growth the company has experienced over the years. Looking forward, we expect revenues to continue to grow albeit at a more normal pace. Why is that? There are two reasons. First and simply, the level of growth we have experienced over the past six years is in some respects unnatural and unsustainable. We will grow, but it will be difficult to replicate the compounded annual growth rate of 26% we have experienced the last six years. And secondly and more importantly, we are going to be more selective in where we put our money and how we grow. Quite simply, we’re going to put our money where we get the greatest returns. We have a robust process around investment decisions and have internally outlined specific hurdle rates that each and every investment needs to achieve. As new projects move through the system over the next number of years, the expectation is that you will see a noticeable improvement in our overall return on invested capital. It is to some extent a new way of thinking for the company and is quite simply a byproduct of our evolution. During the first 10 years of our existence, the focus was to build up our book of business footprint and demonstrate our capabilities to customers, so they can have a base to grow from. And that approach was the right thing for the times because we would not be sitting here today with $3.6 billion in revenues, a diverse product offering and a global footprint to build from. You can call that part one of our evolution as Rob noted. Part two will continue to be one of growth but on a much selective basis and not necessarily one of being everything to everyone. With this as the backdrop, we expect revenues to be between $4 billion and $4.5 billion by 2018. As such, we believe the story continues to be a positive one and one of growth. From a bottom line perspective, the fourth quarter was a decent quarter. In the fourth quarter of 2014, our total net earnings per share on a basic and diluted basis was $0.27, after adjusting for the cost of the CEO change and certain restructuring cost as explained in our MD&A and within our quarterly guidance and a record fourth quarter for us. Adjusted operating income and adjusted EBITDA margins for Q4 2014 as outlined in our MD&A we’re up year-over-year predominantly on the back of improved margins from our U.S. metallic operations. As noted on our last quarterly call, we are now opening four new facilities in Spain, Mexico, Riverside, Missouri and China, and costs are being incurred. These pre-operating costs had a negative impact on Q4 as expected when we provided our Q4 earnings guidance. These pre-operating costs will continue to be incurred in 2015 as these new plants prepare for new program launches later in the year and into 2016. However, despite these costs, we are still expecting operating margins to improve year-over-year as a result of ongoing improvements being made in U.S. metallic operations. Overall, as our press release highlights and as previously noted, operating margins are expected to improve significantly over the next three years as improvements in the U.S. operations continue, pre-operating costs of these new operating facilities subside and we execute on our backlog of business including both new and replacement work. I also just wanted to quickly touch upon the balance sheet and cash flows. As you can see from our audited financial statements, the company is a significant cash flow generator. We generated $259 million in operating cash flow before changes in the working capital in 2014. Operating cash flows have increased every year over the past five years. 2015 is set to be an even better year from an operating cash flow perspective as our margins continue to improve as previously discussed. With that said, our CapEx levels in recent years have been elevated given the growth we we've experienced. In 2014, the Company once again made significant investments in the business as a result of new work we are currently launching and a significant launch of backlog of new programs coming online over the next two to three years including four new greenfields as previously discussed. Capital expenditures in 2014 totaled $204 million, fairly consistent with levels over the past three years. Guidance for 2015 is approximately $210 million, subject to new program wins and the timing of expenditures. The guidance is slightly up from previous expectations due mainly to foreign exchange translation effects. We continue to see the mix of investment to be heavy on the aluminum side of the business. Given where we are in the launch cycle in our North American business and the fact that our North American footprint is substantially established in Martinrea classic, in particular as it relates to the metallic business, capital expenditures for Martinrea classic are expected to normalize and as a matter of fact have been normalizing. We will invest in the Martinrea classic business as it moves forward but expect historical CapEx levels to continue to normalize in the next while. With that trend and coupled with the improving margins, we expect the Martinrea classic business to generate a significant level of free cash flow in 2015. The reality for Martinrea Honsel is somewhat different. Capital expenditures of Martinrea Honsel are expected to continue to be high given the growth prospects in the commodity. As a matter of fact, three of the four new greenfield plants going up are aluminum plants, and over 60% of the capital spend in 2014 was associated with new aluminum work and capacity. Despite the expected high CapEx levels, we still expect the overall Company to generate positive free cash flow in each of the next three years. 2014 was a positive step forward in that regards. Excluding the purchase of the Martinrea Honsel minority interest, the Company generated approximately $40 million of free cash flow in 2014, something we haven't done in a while. As a result of this progress, our net debt levels dropped in the fourth quarter although debt levels are expected to increase to some extent in Q1 due to the seasonal ramp-up of working capital. We expect the overall positive momentum for 2014 to continue into 2015 on a year-over-year basis as margins improve and the ability of the Company to generate free cash flow is enhanced. Free cash flow will be used to pay down debt. In that regard, we have set a target of net debt to EBITDA ratio of under 1.5 times by 2017. Thank you and I turn you over to Rob.
Rob Wildeboer: Thanks, Fred. We want to thank all of our stakeholders for the tremendous support in 2014. Our employees have helped build a Company that is getting better all the time. They're dedicated and they work hard. Our customers continue to value us and show their faith in us by allowing us to help build their vehicles. Our lenders have always been there for us and financed our Martinrea Honsel purchase wholeheartedly. Our shareholders have supported us and have continued to appoint Boards of Directors dedicated to act in the best interest of the Company in all things. While we believe that support has been rewarded in positive returns since the beginning of 2014, we believe that there remains opportunity and work to be done. We will continue to focus on improving shareholder value over time as we have done. It is with immense pride and respect that we serve you all, and we will continue to do our very best to serve you well. We really have fun doing what we do, as do our people, and we believe our efforts in 2015 will result in our best year-to-date. We look forward to our future. I think we summarized some things for you therefore in this call, we're bullish for the future. Now it's time for questions. We see from the lists we have shareholders, analysts and even some competitors on the phone, so we may have to be a little careful with our answers, but we will answer what we can. Thanks for calling.
Q - Todd Coupland: Hi, good morning, everyone.
Rob Wildeboer: Hey, good morning, Todd.
Todd Coupland: I was wondering if you could talk about the actions that you took in the quarter in the metallics business and what specifically you benefited from.
Rob Wildeboer: There's been basically a plan in place for a while that has started to flow through that the metallics EVP and his people put in place on how they're going to make improvements plant by plant. So in order to make budget or even improve upon that, in each plant we have people on specific projects for improvement and can chase those projects down now, track that cost improvement, and see it flow through the bottom line. Just a lot of blocking and tackling, head count reductions, cycle time improvements, a lot of the things that we would typically do in a plant that frankly with all the launches and activity they haven't had time to focus on. This year in metallics and especially even this last quarter, there was a lot of – a lot more time I would say to do these type of things, where there hasn't been launches taking over a lot of that effort. As we go forward in this year, we only have one significant launch which is now ongoing in one of our metallics plants and the rest can focus on operational improvement. So I think they're going to continue to see that trend. They put a plan together. They've been tracking to that plan. From this past quarter and was we go into the first quarter of this year, we're pretty pleased with what we're seeing.
Todd Coupland: One follow-up if I could. When you look at it and you measure the improvement that you saw in the quarter and what you're seeing thus far in Q1, would you say it's on plan. Ahead of plan? How would you grade yourself?
Rob Wildeboer: The activity in the plants itself and the improvement projects are on plan. We had some sales differences in metallics that we didn't expect, but if you look at plant by plant and their activity on head count reduction and cycle time improvement, it's right on schedule.
Todd Coupland: Great, great.
Fred Di Tosto: This is particularly notable in the U.S. plants where we struggled in the past.
Todd Coupland: Great. Thanks very much.
Rob Wildeboer: Thanks, Todd.
Operator: Thank you. The next question is from Peter Sklar from BMO Capital Markets. Please go ahead.
Peter Sklar: Good morning.
Fred Di Tosto: Good morning.
Peter Sklar: The tax rate came in a little bit towards the low end of your guidance range that you typically talk about and I'm just wondering if there's any new thinking on what the prospective tax rate is for 2015, 2016?
Fred Di Tosto: Not really. We're still expecting going forward over the next couple years anyway a rate somewhere between 20%, 25%, depending on mix of earnings. There's also some losses that are not benefited on the balance sheet at the current time. At some point there's going to be some assessments made on those. That could change the outlook. At the current time, 20% to 25% is a reasonable change.
Peter Sklar: Right. And the other question I wanted to ask you, Fred, the interest expense line has not increased since you took out the minority interest of Honsel and I'm just wondering why that's the case?
Fred Di Tosto: It actually has increased. I'm not sure what numbers you have in front of you there, but it has increased. I think when you look at it, there's always a quarter lag as well in terms of when the new rates kick in, so that's how our credit facility is created. So you have specific numbers there you can mention or?
Peter Sklar: Well. What was the closing date for the Honsel minority?
Fred Di Tosto: Mid-August.
Peter Sklar: Right. So like I'm just looking, your net interest expense in Q4 as you report it, it's only slightly in excess of what you reported in Q3.
Fred Di Tosto: Yes, but Q3 you had half a quarter of the incremental debt at minimum, right.
Rob Wildeboer: Also, a lowering of the rate in Canada, right.
Fred Di Tosto: And then ultimately the rate decreased slightly but not substantially.
Peter Sklar: Okay.
Rob Wildeboer: That's why we like our banks. We have good interest rates.
Peter Sklar: Okay. I believe it was when you reported Q3 results you provided some guidance that the four plant launches would have preoperating costs of about $25 million in 2015 and I'm just wondering if that guidance has changed at all.
Fred Di Tosto: No, it hasn't changed. We're still expecting the impact on 2015 to be somewhere around $20 million to $25 million.
Rob Wildeboer: Yes, it is $20 million to $25 million.
Peter Sklar: Right. Okay.
Fred Di Tosto: Those launches are going according to plan, so we're pretty pleased with what we're seeing so far.
Peter Sklar: Okay. And then just lastly, Pat, just as you've started to learn more about the Company, do you think that there's an opportunity to reduce the working capital position in 2015 so that that could contribute to your free cash flow?
Pat DEramo: Yes. I mean, Fred has indicated that we plan to have a better free cash flow situation relative to our budget, I can't say that there is, but it's certainly going to be an area that we're focusing on and we've already started to see some improvement on a plant level. There's certainly more attention to it than there's been in the past. And the short answer would be yes, I think there is some opportunity and I think you will see that continue to be an area where we improve in the years to come.
Peter Sklar: Okay. Thanks very much.
Pat DEramo: Thank you.
Operator: Thank you. The next question is from David Tyerman from Canaccord Genuity. Please go head.
David Tyerman: Yes. Good morning. I just wanted to go through the geographic segments. Just looking at North America, the margins have actually been weakening off since Q2. I'm just wondering if you could give some insights into what's been going on in the last few quarters.
Rob Wildeboer: Well, the main explanation on that is essentially the preoperating cost. So two of the four facilities, new facilities are going up in our North America segment being in Mexico and Riverside, Missouri. So that's the main reason. If you didn't have that, you'd see some incremental benefit there. Year-over-year, we've improved significantly in North America in terms of our margins. We've gone from 1.4% in Q4 of 2013 to 3.2% in Q4 of 2014. And we expect that trend to be fairly consistent over the course of the year in terms of being year-over-year improvement
Fred Di Tosto: There's a little bit of seasonality there too, right? In Q3 you've got July shutdowns, in Q4 you've got the December out shutdowns. You don't have that in Q1 or Q2.
David Tyerman: Okay. So the preoperating costs, would they be significant this year? Presumably they are.
Fred Di Tosto: Sorry, the significant…
David Tyerman: The preoperating costs in North America, like it sounds like its 3.2% - from what you're saying, 3.2% would be the low because you're saying you're going to have year-over-year improvements in 2015. But it sounds like preoperating are going to be a drag on the margins through the year.
Fred Di Tosto: Correct. But we will more than offset that impact with improvements in our U.S. operations. So you should see improvement over the course of 2015.
David Tyerman: Okay. Would it be more back end loaded, do you think?
Fred Di Tosto: I mean fairly steady over the course of the year.
Rob Wildeboer: Yes. So when we say preoperating costs for four plants of 20% to 25%, I think it's fair to say for North America with two of the four plants, it's roughly half.
David Tyerman: Okay. That’s helpful. And then in Europe, I think you've been talking about some programs rolling off in 2015 and also margins being down with launches again, presumably or the plant launches. Is that still the thought? And so would we see sales decline in 2015, is that a logical way of thinking of it?
Rob Wildeboer: There is going to be some of that. We are expecting higher level of roll-off in Germany as we noted in the past in a couple occasions. So we will be experiencing that in 2015. On the other side, we have a Spanish facility that is going to start ramping up in 2015 with the new program that's going in there for Jaguar Land Rover. And as Rob noted there's a new program going in there that we just got announcement from the customer. So that plant will continue to ramp over the next number of years and offset the roll-off in Germany but the timing may not be exact.
David Tyerman: Okay. And the margins in Europe, I think you said they would go down likely in 2015 in the past. Could we be seeing sub-7% kind of numbers?
Fred Di Tosto: Right now we are down from where we were. You're seeing some of it now. You have preoperating costs. They may decline a little bit more but I'm not expecting a drastic decline.
David Tyerman: Okay. That's helpful. And then finally on Rest of World, obviously ramping up, and also challenges just from the market in Brazil, could that cause the losses to accelerate in the short term? And then you should see some improvement in the medium term?
Fred Di Tosto: I think the fourth quarter results for rest of the world were actually quite poor for those reasons. I don't see them going any further than that. I think the costs that we're incurring in our new aluminum plant in China were at a run rate basis would be fairly constant what we experienced in Q4. We have our fluid plant there that's in the process of ramping up. So there's going to be a positive effect there. And then Brazil, we just don't know what the situation is going to hold there over the next year. I can't imagine it's going to go any lower. At some point the volumes are expected to come back and the whole business starts happening in 2015.
Rob Wildeboer: It's a very interesting place, shall we say.
David Tyerman: Fair enough. And last question I had. What are your guys thoughts on the Company's ability to do M&A at this point or interest in doing M&A? Is that something of interest now, or are you so busy with all the things you're doing that that's probably something down the road that would come back?
Fred Di Tosto: Both Pat and I will speak to that. Let me give the general view. We've kind of built our footprint. I would say three years ago, we got approached by everybody that had an idea that we should buy this, we should buy that, we should approach this, a lot of Fluids stuff and a lot of metallics stuff. I think we are not in the M&A hunt right now on any considerable basis. At the same time, working with potential joint ventures and having a partner like we have in China or something small that fits in, and I mean small, those are the types of things that we do. But we're not planning major expenditures on the acquisition front.
Pat DEramo: I would agree. This is, as I talked about a little bit earlier, really good opportunity to improve our operations in the metallics area, so it will give us some time to focus with the low launch schedule and not having to spend a lot of resources on a significant acquisition. Also, we really like to focus on organic growth which we have a lot of opportunity in our aluminum business especially, as well as some Fluids. But in the aluminum side Rob mentioned some new work that we were just awarded. It's pretty significant. And we foresee that continuing in the short term. We think there's more there that we can achieve. So I think we will have a lot of organic growth that we can manage and in the aluminum business specifically, we have a very strong, deep team. I talked a little bit about the lack of depth in some of the Company. I would I say that in the aluminum business' case there's exceptions. We have a very strong, deep team there that can manage launches very well
David Tyerman: Okay. That's very helpful. I appreciate it. Actually, just one last question. Is was really glad to hear the emphasis on ROIC. Can you guys shed some light either now or at some point in the future on what your targets are in that area?
Fred Di Tosto: Yes. We will consider talking about that a little more openly as we move forward under the new process that we have. So just stay tuned.
Rob Wildeboer: Yes. I think we may have a discussion with you because there's all different ways to define it slightly. It always confuses me just a little bit because different people talk about different things. I know you have an approach. I think it's probably good for us to understand that and work towards that. So if that's the number that we're going to use that he we're kind of clear on definitions or at least how we explain, we calculate it, I know there's some slightly different ways to do it.
Fred Di Tosto: Conceptually, the targets, the hurdle rates that have been set at this point are designed to drastically bridge the gap between us and our peer group as relates to return on invested capital. Over the next number of years we are expecting to see an improvement in that metric.
Rob Wildeboer: One of the – I mentioned it briefly a moment ago about focusing our plants more in that area and our business units are going to compete for money going forward and our plants are going to compete for money and so that return on capital is going to become a high priority to the typical general manager who wants to improve their plant. So I think we're going to see some really good activity based on focusing there.
David Tyerman: That’s excellent. Thanks very much, guys.
Rob Wildeboer: All right.
Fred Di Tosto: Thank you.
Operator: Thank you. [Operator Instructions] And the next question is from Mark Neville from Scotiabank. Please go ahead.
Mark Neville: Hi. Good morning.
Rob Wildeboer: Good morning.
Mark Neville: Rob, can you just sort of hit the highlights on the new contract? I missed some of the details there, if could you run through that again.
Rob Wildeboer: Yes. I mean I think we’ve been indicating that Martinrea Honsel has lots of quoting opportunities and that's why we put in our press release that we expect the new business in the near future. We didn't quite think it was going to be three hours later or whatever. But we have won an award from Jaguar Land Rover that's one of our key customers on the Martinrea Honsel side for some rear knuckles and lower control arms across various vehicle platforms. So it's not just one vehicle. That work will be done in Spain and China. We will actually go into our existing plant locations there. Starting at 2017, ramping up. It will hit peak volume during 2019 or 2020, we’re not sure yet, depends on the customer and so forth. Full run rate will be about $100 million a year when fully launched and it’s a longer term program in part because it's over different platforms. So that's basically the framework of the award. The product, we make similar product now that's just launching and so if you look at the volume of what we had won in the past, it the past, it was something like $1.7 million per year and this takes us to $3.1 million in this basic product family. So it's pretty significant. And we've got experience in it which is a big benefit
Mark Neville: Sorry. That's going to go into the existing facilities; correct?
Fred Di Tosto: Yes.
Rob Wildeboer: Yes. Spain and – China is the one being built. So we will now have two products in China. One is the GM product that we previously announced and now this one. So that's a good thing.
Mark Neville: And so just a couple points of clarification. On the European margin, not expecting a big decline next year. Is that right?
Fred Di Tosto: Correct. Yes. So we have some downward pressure from the roll-off in Germany. However, we have the Spanish plant that's ramping up, starting in 2015. It's not going to hit peak volume in 2018. So you may see a bit of a decline, given the timing, but I'm not expecting it to be drastically lower.
Mark Neville: Okay. And I guess one last one on the CapEx. $210 million for 2015. That's a good number to think about for the next few years or in that range?
Fred Di Tosto: Yes. So in the next couple years we're expecting some fairly high CapEx levels, I think in that range, given the growth profile of Martinrea Honsel and there's new awards. There's CapEx involved in it. However, that would have been rolled into the thinking when we disclosed that at the Investor Day.
Rob Wildeboer: And part of the change is the fact that a lot of where we're investing is outside of Canada and the equipment and so forth that we put in is basically in foreign denominated currency. So that's ratcheted up the cost. 20% decline versus the U.S. dollar, most equipment's in U.S. dollar terms, so that makes $30 million to $40 million of a difference right there.
Mark Neville: Okay. Thanks a lot, guys.
Fred Di Tosto: All right. Thanks.
Operator: Thank you. The next question is from Otto Cheung from GMP Securities. Please go ahead.
Otto Cheung: Hi, good morning.
Rob Wildeboer: Hi, good morning.
Otto Cheung: Just one follow-up question. With respect to the quoting activity, you guys just announced $100 million contract. Can you just comment on how the level of other quoting activity is going on right now and where you're seeing the most activity, in terms of North America, Europe, vice versa?
Fred Di Tosto: Well, most quoting activity we're seeing is in the aluminum business of course, because of the market continues to shift that way. But I'd say it's a spread. We're seeing a lot in North America, especially out of the – in Mexico, where the OEs have put a lot of facilities or are going to be putting a lot of facilities. And we continue to see some in Europe, though Europe is flat, our position there for this product is very healthy and of course we continue to see stuff out of China. So these global platforms affecting certain regions, so it's kind of spread and they want to build as much locally from an OE point of view as they can. So I wouldn't say it's stronger in one area than the other, though from a North American point of view if I had to say it's healthy some place, it's healthiest there which in our case is great because we're weighted in North America from a manufacturing point of view. We're not seeing stuff out of South America or other than China any of the other BRIC companies – countries.
Otto Cheung: Okay. Great. That's all I had for now. Thank you.
Fred Di Tosto: All right. Thanks.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Wildeboer.
Rob Wildeboer: Thanks for all of you that were here and with your questions. If any of you have further questions or would like to discuss any issues concerning us, please feel free to contact any of us at the number that we've got in our release or the numbers. You can call Fred and we remind you of the fact that we like to meet you face-to-face and happy to do that when we can arrange it. We're an international Company. We travel a lot. But we like to meet our shareholders and investors and analysts face-to-face and have a discussion from time to time. Have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thank you for your participation.